Operator: Ladies and gentlemen, thank you for standing by and welcome to the John B. Sanfilippo & Son Inc. First Quarter Fiscal 2020 Operating Results Conference call. At this time, all participants' lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]I would now like to hand the conference over to your speaker today, Mr. Mike Valentine, Chief Financial Officer. Thank you. Please go ahead sir.
Mike Valentine: Thank you, Margaline. Good morning everyone, and welcome to our fiscal 2020 first quarter earnings conference call. Thank you for joining us today. On the call with me today is Jeffrey Sanfilippo, our CEO; and Jasper Sanfilippo, our COO.But before we start, we want to alert you to the fact that we may make some forward-looking statements today. These statements are based on our current expectations and they involve certain risks and uncertainties. The factors that could negatively impact results are explained in the various SEC filings that we have made including Form 10-K and on occasion Form 10-Q. We encourage you to refer to these filings to learn more about the risks and uncertainties that are inherent in our business.Starting with the income statement. Net sales for the first quarter of fiscal 2020 increased by 6.6% to $217.8 million in comparison to $204.3 million from last year's first quarter. The increase in net sales resulted from a 9.1% increase in sales volume, which we define as pound sold to customers. The increase in net sales from volume was offset in part by lower selling prices, primarily for cashews, pecans and walnuts, which in turn resulted from lower commodity acquisition costs.The increase in sales volume came from a 17.4% increase in sales volume in the consumer distribution channel. This was offset in part by a 13% decline in sales volume in the contract packaging distribution channel and that was due to a reduction in unit ounce weights, implemented by a customer for its entire product line in this channel and reduced promotional activity by another customer in this channel.Sales volume was relatively unchanged in the commercial ingredients channel. The sales volume increase in consumer distribution channel was mainly due to increased sales of private brands snack nuts and trail mixes from distribution gains with existing and new customers.Now looking at sales volume for our brands in the consumer channel. Sales volume for Fisher recipe nuts fell by 30.3% as a result of loss of distribution for some items due to the continued expansion of private brand recipe nuts offerings at a major customer. Sales volume for Orchard Valley Harvest brand increased by 12.4% and that was mainly from increased sales with existing customers. Fisher snack nut sales declined by 8% due to lost airline business and club business. Southern Style Nuts brand sales volume increased by 40.3%, due to distribution gains with new grocery customers primarily.Gross profit increased by 28.2% to $42.2 million in the first quarter of fiscal 2020 compared to $33 million in last year's first quarter. Gross profit margin as a percentage of net sales increased to 19.4% in the current quarter from 16.1% for the first quarter of fiscal 2019. The increases in both gross profit and gross profit margin were primarily due to the increase in sales volume and also the lower commodity cost for cashews, pecans and walnuts.Total operating expenses declined to 10.6% of net sales for the current first quarter from 11.2% of net sales for last year's first quarter and total operating expenses increased by $300,000. The increase in total operating expenses resulted mainly from an increase in compensation expense, which was largely offset by declines in shipping, advertising and amortization expenses.Interest expense in the quarterly comparison declined by $400,000 and that was due to lower average debt levels during the current first quarter. As a result of the above, net income was $12.9 million or $1.12 per share diluted compared to $6.6 million or $0.57 per share diluted for last year's first quarter.Now taking a quick look at inventory. The total value of inventories on hand at the end of the current first quarter declined by $24.6 million or 13.6% compared with the total value of inventories on hand at last year's first quarter. The decline in total inventory value was primarily attributable to lower acquisition cost for pecans, cashews and walnuts as well as lower quantities on hand for finished goods.The weighted average cost per pound of our walnut and dry food input stocks on hand at the end of the current first quarter decreased by 25.9% compared to the weighted average cost at the end of the first quarter of last year. This decline was due to lower acquisitions cost for pecans, cashews and walnuts and a shift in product mix in our inventory to lower-cost peanuts.At this time, I will now turn the call over to Jeff Sanfilippo, our CEO who will provide further additional on our operating results for the current first quarter. Jeff?
Jeffrey Sanfilippo: Thank you, Mike. Good morning, everyone. The first quarter of fiscal 2020 marks the third consecutive quarter in which we reported record net income and record earnings per share. First quarter diluted EPS nearly doubled to a record $1.12 per share.We also continued our goal of returning profits to our stockholders by increasing our regular annual dividend by 9% to $0.60 per share and supplemented that with a special dividend of $2.40 per share both of which were paid in the fiscal 2020 first quarter. I'm very proud of the entire JBSS team for delivering such strong results to kick-off the year.The 9.1% sales volume growth was driven by success in our consumer distribution channel, which accounted for approximately 70% of total sales volume in the current first quarter. A significant portion of this increase was attributed primarily from distribution gains for private brand products as Mike mentioned.The company has been successful in not only expanding items with existing customers, but also gaining additional retail accounts. We continue to enhance our innovation pipeline across our big business segments and brands to support this growth.Sales volume growth for our Southern Style Nuts and Orchard Valley Harvest brands also contributed to the sales volume growth in the consumer distribution channel. Sales volume growth for our Orchard Valley Harvest brand has been especially impressive with a compounded annual growth rate of approximately 27% since we started reporting on sales volume performance for the brand in fiscal 2015.We continue to face headwinds with our Fisher recipe brand at a major customer due to a competitive private brand program as I've discussed in past earnings calls. However, the sales and marketing teams have done an incredible job gaining expanded distribution at other retailers to offset potential volume declines going forward.We believe our holiday promotional and merchandising programs are very competitive and are intended to allow Fisher to compete against private brands more effectively. As we enter the harvest season, we have seen acquisition cost for walnuts and almonds begin to increase in the 2019 crop year, which falls into our current 2020 fiscal year. We also continue to see declining acquisition costs for cashews. Peanut prices are relatively flat versus last year and the pecan harvest has just begun, so we don't have visibility yet on how prices will compare to last year, but we believe our inventory positions are well aligned with our commitments and selling prices going into this busy holiday season.Turning to sales by our business channels. Net sales in the consumer distribution channel increased $11.7 million or 12.7% and sales volume increased 17.4% in the first quarter of fiscal 2020, compared to fiscal 2019. The sales volume growth as I mentioned earlier was driven by increased sales of private brands, snack nuts and trail mixes.The consumer teams have been successful in building valuable retailer partnerships to pursue private brand opportunities, but we also continue to invest in our brands. The consumer sales and marketing teams were busy launching and selling in several new branded product lines this past quarter. I will discuss this when I cover category updates.As Mike mentioned, net sales and sales volume in the commercial ingredients distribution channel was relatively unchanged in the first quarter of fiscal 2020. The commercial ingredient teams are focused on developing stronger customer relationships with key distributors and executing the placement and selling of our branded products at a major noncommercial business customer.Net sales in the contract packaging distribution channel decreased by 13.9% in dollars and 13% in sales volume in the first quarter of fiscal 2020. We have reported declines in this channel for the past several quarters, as a result of a key customer downsizing rates and other factors, but we believe the volume going forward should level off with a few new pieces of business that will begin shipping in the remaining quarters of this fiscal year.Turning to category updates in the snack, recipe and produce segment. Let me share a review of our branded performance and consumption trends both for the quarter and for the fiscal year. As always, the market information I'm referring to is IRI reported data and for today it's for the period ending September 22, 2019. When I refer to Q1, I'm referring to 13 weeks of the quarter ending September 22.References to changes in volume or price are versus the corresponding period one year ago. We look at the category on IRI's total U.S. definition, which includes food, drug, mass, Walmart, military and other outlets. Unless otherwise specified, when we discuss pricing we are referring to average price per pound.Break out of the recipe, snack and produce categories are based on our custom definitions developed in conjunction with IRI and the term velocity refers to the sales point of distribution.First let me review some category dynamics. The total nut category increased in sales dollars and pound volume by 1% in Q1. Overall prices in Q1 were flat versus the prior year.Now I'll talk about each category more in-depth starting with recipe nuts. In first quarter, the recipe net category decreased 4% in dollars and increased 4% in pound volume sales. Prices decreased on walnuts and pecans by 11% and 6% respectively resulting in a 2% pound volume increase on walnuts and a 5% increase on pecans.Our Fisher recipe nuts decreased 22% in dollars and 25% in pound sales for the quarter versus last year. As a result Fisher share in the category decreased 5.8 pound share points versus last year. The sales volume decline for Fisher recipe nuts resulted from lost distribution as I mentioned on items in a retailer that continue to expand their private brand program.In the food grocery channel, Fisher recipe increased 9% in pound volume, driven by an increase of total points of distribution of 18%.Now, let me turn to the snack category. In Q1, the snack category increased 2% in dollar sales and 1% in pound sales. Fisher snack increased 8% in sales dollars and declined 3% in pound volume sales in Q1. Decrease in dollar sales is a result in shifting product mix from peanuts to cashews and mix nuts. The brand increased in total distribution points by 21% as Fisher Oven Roasted Never Fried expanded beyond the core Fisher geography.As we have discussed on previous calls, Fisher Over Roast Never Fried offers consumers a full line of nuts that are dry roasted not roasted in oil including whole cashews, deluxe mix nuts, mix nuts with peanuts, almonds, pecans, and a unique almond-cashew blend as well as peanuts.We continue to support the brand with an integrated marketing plan of in-store merchandising and customer programming, radio targeted digital, and social media marketing, and FSIs. The brand is performing well where we have achieved our shelf price objective and we hope to expand to new markets in the future.In Q1, the produce nut category decreased 4% in dollar sales and 3% in pound volume sales. OVH, our produce nut brand decreased 4% in dollars and increased 7% in pounds and IRI reporting customers. OVH share pound increased 0.2% versus last year and were flat dollar sale share year versus year ago. Total points of distribution increased by 2% versus last year.Orchard Valley Harvest launched two exciting new products in the first quarter bringing pure and simple goodness to the specialty nut butter and chips categories. The brand's Spread 'n Dip peanut butter offers consumers a natural non-GMO peanut butter package in a tub for easy dipping as well as the more traditional use of spreading on bread. The butters are being sold into the produce section of stores to tap into the consumer behavior trends of snacking on fruits and vegetables with peanut butter.We also launched Orchard Valley Harvest Chickpea Chips which are light crispy chips made from chickpeas. Consumers are increasingly looking for interesting salty snack alternatives to potato chips and Orchard Valley Harvest Chickpea Chips taste great, while offering consumers three grams of protein per serving. It's too early to tell how the new products are doing, but initial feedback from retailers is encouraging.In closing, it takes a talented group of dedicated employees across an entire organization to deliver consistent strong results as we have done here at JBSS. I'm very proud of every person in our company, their leadership and commitment to providing outstanding service and value to our customers and consumers is best-in-class, and I believe the best in our industry.Success also requires smart strategies for sustainable growth to maintain a competitive advantage to be differentiated to be a valuable partner and to remain relevant. The leadership team has spent the past few months reviewing our current strategies. We assessed what we are doing well and what we can improve upon, we've evaluated competitors, markets, our supply chain, and consumer consumption trends.We are in the process of defining what our strategic plans will be for the next three years to continue to deliver consistent strong results. The management team and all our dedicated employees have a steadfast commitment to develop business plans that create shareholder value and provide relevant profitable value-added products and services to our customers and consumers.We appreciate your participation in the call and thank you for your interest in our company. I will now turn the call back over to Mike.
Mike Valentine: All right thank you, Jeff. At this time, we will open the call to questions. Margaline, would you please queue up the first question?
Operator: [Operator Instructions] Your first question comes from the line of Chris McGinnis. Your line is open.
Chris McGinnis: Good morning. Thanks for taking my question. Nice quarter. Sort of ask you – we're starting to see some price increases starting to come back into raw materials how does that change the competitive landscape? And then I guess also as you head into the holiday season how rough can you be in both take market share maybe in this kind of an environment? Thank you.
Jeffrey Sanfilippo: Chris, can you repeat the question? I missed the first couple of sentences sorry.
Chris McGinnis: No, no. Yes. So just on you're starting to see some raw material price on the nuts starting to increase how does that change the competitive landscape that's out there? And then especially as you start to enter the holiday season how much is there that give you sort of touch on that?
Jeffrey Sanfilippo: Yes. So a lot of the prices already are committed not just from us from most people in our space. Holiday programs usually get committed in the middle of the year. So not a lot of activity can take place beyond what's already been committed from a pricing standpoint. The big challenge is that these markets increase like almonds we're seeing in walnuts is what kind of pricing commitments people had prior to new crop.We feel our inventory positions are very well balanced and so we're not going – be able to – we won't be in a position where that will negatively impact us, but rather it's difficult to take big opportunities when prices are going up. On the other hand, when prices come down like we're seeing with cashews just gives us some opportunities to do a little bit more promotions or deeper promotions where we have some flexibility from a pricing standpoint or offer different merchandising. So -- yeah.
Chris McGinnis: And I know you mentioned that it's early but the new product offerings that you've developed with the butter and the chips just – can you maybe just talk a little bit about where you're starting that out and maybe how big versus maybe some of our your other brands just where your distribution points are just to kind of give us a scope of how big that could possibly be? Thank you.
Jeffrey Sanfilippo: Sure. So the both programs are in our Orchard Valley Harvest brand portfolio. Our current ACV or distribution is about 45% for our Orchard Valley Harvest brand. We believe this is – it's a new product line both the nut butters, it's going to be focused in the produce section. We literally just launched it within the last four weeks so we haven't seen velocity numbers per se that give us any basis on how well it's doing, but we're confident that the consumer feedback we've received is very positive and retailer feedback we've received is positive.So a lot of opportunities to expand, not only our current ACV, but get into a lot of new retailers. And then the Chickpea Chip, it's our first product launch outside of the nut category, we just see a lot of opportunities with other plant proteins and so brand new as well just launched within the last couple of weeks, it's in a few test markets at this point. So a little bit early to tell probably next quarter call we'll be able to give a little more color on how it's doing.
Chris McGinnis: Okay. And just on the requirement of Fisher recipe nuts, can you maybe just talk a little bit about how you're going to better maybe approach the kind of the volume decline that you saw just kind of given kind of the competitive nature?
Jeffrey Sanfilippo: Sure. So our official recipe from -- even there we're still at a 63% ACV, so there's still a lot of opportunities to expand that product line at other retailers. Obviously, we've had some headwinds with a major retailer expanding their private brand program taking space away from our Fisher recipe nuts.But at the same time there's a lot of opportunities to make up, a lot of their volume at other retailers and also we've got very strong promotional programs going into the holiday season with other retailers, where we feel, we potentially could expand and grow those retailers much faster. So I'm very optimistic on what we can still do with Fisher recipe going forward.
Chris McGinnis: Okay. And then just two kind of last questions. Just we've seen some solid growth on the top line, as you start to get to the back half of the year, it progress throughout the year, how do you think that holds up with kind of what you see today? And then same question except just on the margin term, if anything's changed there since last time we talked? Thank you.
Jeffrey Sanfilippo: From a volume standpoint Tim [ph] I think we've got a lot of new programs that we're focused on, especially in the commercial ingredient channel, we believe there should be upside in the back half of the year with some of the things our teams are doing in that area.The consumer team continues to obviously expand our distribution with the nut butter launch and then the Chickpea Chip and then some of the other innovation products that we'll be looking at in the coming year. We also still feel there's private brand opportunities ahead of us that we're pursuing and so just we believe there's opportunities in the back half of the year as well to keep up some strong volume. And as from margin standpoint Mike do you want to touch on that?
Mike Valentine: Sure, I'll take that Chris. And then in respect to margins going forward after December, as we've said in the past, as we switch from old crop to new crop, of course our crops and selling prices need to be realigned. And as always we -- it's our objective to try and maintain gross profit per pounds as we do that realignment.Now of course, we've got a lot of work to do there with -- as Jeff mentioned, cashews and walnuts increasing -- I'm sorry, walnuts and almonds increasing and cashews decreasing, but we do expect to have that aligned, pretty quickly early in the third quarter.
Chris McGinnis: Great. Thank you for taking time and appreciate your efforts. Good luck in Q2. Thank you.
Mike Valentine: Thanks, Tim [ph].
Operator: Your next question comes from the line of Tim Call from Capital Management Corporation. Your line is open.
Tim Call: Congratulations on another great quarter.
Jeffrey Sanfilippo: Thanks, Tim.
Tim Call: I was wondering, when do the comparisons get easier on a year-over-year basis with the Fisher recipe nut brand in that large retailer that changed its format?
Jeffrey Sanfilippo: Can you repeat the question? Sorry I keep missing….
Tim Call: I'm wondering when the year-over-year comparison for sales get easier with that large customer that's changing their recipe nut.
Jeffrey Sanfilippo: Sure. Sorry about that. Yes. So I would expect -- we've made up a lot of volume in other retailers going into the holiday season but it was still a big piece of our business. I would say it would probably -- it will level off by January. You might see a little bit of softness in the next two months, but like I said, the consumer team has done a great job replacing a lot of that volume but definitely leveled off by January going forward.
Tim Call: But that headwind started over a year ago, so it's -- the majority of the impact has been seen, is that right?
Jeffrey Sanfilippo: Yes. Correct.
Mike Valentine: Chris, that's basically been almost a two-year process. And that increasing private label distribution is essentially ramped up over that period. And then, of course, this quarter was impacted by the fact that we did not -- we lost some space on the holiday display areas, but I think we've pretty much lost just about as much space as we're going to lose. So, as Jeff said, going forward in January should be a pretty fair comparison.
Tim Call: And then when we -- when you look at that customer, are your sales to that customer below average margins for your consumer business?
Jeffrey Sanfilippo: We don't give specific customer margin information, but I would say, it's in line with other retailers.
Tim Call: Well, congratulations again on a great quarter. Thank you.
Jeffrey Sanfilippo: Thank you, appreciate it.
Mike Valentine: Thank you.
Operator: [Operator Instructions] I'm showing no further questions at this time. I would now like to turn the conference over to Mr. Valentine. Sir?
Mike Valentine: Thank you, Margaline. Before we end the call, please note that we will be presenting at the Southwest IDEAS Conference in Dallas on November 21, 2019. Our presentation is scheduled to begin at 1:40 Central. The presentation will be webcast live and may be accessed at the conference website, www.ideasconferences.com. Again, thank you everyone for your interest in JBSS. And this concludes the call for our first quarter of fiscal 2020 operating results.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.